Operator: Good day and thank you for standing by. Welcome to the Carrefour Q3 2023 Sales Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Matthieu Malige, Group CFO. Please go ahead, sir.
Matthieu Malige: Thank you. Good afternoon to all of you and thank you for attending this Q3 2023 sales call. Let me start with a few key highlights before we get into the details of our third quarter sales. Sales grew 9% on a like-for-like basis over the quarter, slightly below the Q2 level of plus 10.3%. The sequential slowdown primarily reflects the slowdown in food inflation in Q3 versus Q2. Aside from lower inflation, we saw a continuation of the trends and shopping behaviors observed in recent quarters, notably trading down and declines in volumes at similar levels. In this context, we posted solid top line momentum, notably driven by our key strategic initiatives. Private label products kept resonating particularly well with customers seeking value. In Q3, they represented more than 35% of our sales, a strong increase of 3 points compared to Q3 last year. This is driven by both the traditional Carrefour private label brands and our simple entry price range. E-commerce performed well with GMV up 31% in Q3, driven by a sharp increase in Brazil and double-digit growth in France. Along with these commercial initiatives, Carrefour kept adapting its operating model to declining volumes and trading down. We made good progress on our cost savings program in line with plan, allowing us to confirm today our EUR 1 billion cost-saving objective for the full year. In Brazil, the integration of Grupo BIG continues to progress well, notably regarding the ramp-up of converted stores as I will detail in a minute. Once again, we confirm our synergy target of BRL 2 billion of EBITDA by 2025. In light of Q3 achievements and assuming the continuation of the recent business trends in Q4, we confirm today our financial objectives for the current fiscal year, i.e., growth in EBITDA recurring operating income and net free cash flow versus 2022. Inflation remains the key parameter shaping the industry in Europe. Let's see how it has developed recently on Slide 3. As you can see, the slowdown we highlighted at our H1 results last July was quickly clearly confirmed in Q3 and even gained pace in France and in Italy. Food inflation now averages about 10% year-on-year in our European market, and we expect the decrease to continue in Q4. Now as you can see on Slide 4, cumulative inflation over 2 years shows that consumer prices have remained globally stable since the beginning of the summer. Cumulative inflation over a 2-year is high between 20% and 30% in our European countries. This highlights continued pressure on purchasing power. Let's now dive into Q3 numbers, starting on Slide 5. Sales for the quarter reached EUR 23.6 billion, increasing by 6.9% at constant currency. Group like-for-like sales were up 9%. The expansion and M&A, which includes conversions to franchise and lease management had an impact on total sales growth of minus 0.7 points over the quarter. Petrol contributed negatively for minus 1.5%, mainly driven by lower volumes. ForEx was a negative 6.4% over the quarter, primarily due to the depreciation of the Argentine peso. In total, reported revenue was up 0.5% in Q3. Moving on to a more detailed look at the performance in France on Slide 6. Like-for-like sales increased by 4.3% over the quarter. Food sales were up 5.7% versus 8.5% in Q2. The sequential slowdown essentially reflects the 3-point decrease in food inflation over the quarter, while volumes remained slightly negative. Nonfood sales were down minus 6.8% in the quarter. All formats posted satisfactory growth, including hypermarkets, which delivered solid growth of 4.2% like-for-like, reflecting their discount positioning. E-commerce GMV increased by 16% in Q3, which is above previous quarters. We continue to transform our model, after completing the transfer of company operated to lease management of all 16 hypers' plans for 2023, we recently presented the 2024 plan, which includes a net portfolio of 16 hypermarkets and 21 supermarkets in line with what we did in previous years. Europe delivered another satisfactory performance, as you can see on Slide 7. Like-for-like sales increased by 4.1% in Q3. As we just saw for France, the sequential slowdown in Europe versus the 7.4% like-for-like growth posted in Q2 is mostly explained by lower food inflation which was 3.6 points below the previous quarters on average. Customer behavior also remained fairly unchanged in our other European countries. Like-for-like sales in Spain increased by 5% with food sales up 7.7% and nonfood slightly negative at minus 2.9%. We continue to benefit from our dominant hypermarket format whose discount model resonates well with Spanish customers. Our Italian business continues its positive momentum with 1.7% like-for-like growth, reflecting improvements in all key operating metrics, including price positioning, price image and Net Promoter Score. Belgium continues to recover at a good pace. We recorded new market share gains in Q3 and delivered very satisfactory like-for-like sales growth of 7.5%, notably thanks to successful commercial initiatives. Like-for-like sales in Poland were down minus 3.9% in Q3 on the back of very high comps. Lastly, Romania remained strong in Q3 with like-for-like sales up 4.5% with a [ sound ] increase in traffic in all stores. Last week, we received full clearance from the Romanian competition authorities for the acquisition of Cora Romania with no remedy. This is very good news. This transaction should therefore be completed in the next few weeks. Moving on to Latin America on Slide 8, starting with Brazil. Like-for-like sales in Brazil were down minus 3.7% in Q3. As a reminder, Q3 was the first quarter in which Grupo BIG was fully integrated in like-for-like numbers as the acquisition was completed in June 2022. The quarter was shaped around month-to-month food deflation, which started in June and accelerated through Q3. This translated into year-on-year deflation since August. In that context, like-for-like sales at Atacadao were down minus 2.7%, a sequential improvement versus Q2 resulting from 2 main drivers: First, a stable trend for the legacy stores versus Q2 at around minus 4.5%, which is a clear positive in view of the deeper food deflation. It also reflects better volume trends. And then a sharp ramp-up at Grupo BIG converted stores which delivered strong 22% like-for-like growth in Q3. The ramp-up is very much in line with our expectations and historical patterns for new Cash & Carry stores. This applies to top line as well as to profitability with more and more converted stores generating positive EBITDA as planned. In this context of strong [ prefer ] on purchasing power, the situation was tougher for retail stores, which were also facing higher comps. On retail, note that the gap between like-for-like and reported sales growth is linked to the conversion of 35 hypers to Cash & Carry including a large majority of former BIG stores as well as 3 former Carrefour hypermarket. The performance was very satisfactory at Sam's Club where like-for-like sales increased by 2% in Q3 in addition to 5 stores converted from Grupo BIG hypermarkets, driving total sales growth of plus 8.7%. Efforts to expand the active membership base were successful and led to a 10.2% year-on-year increase in members, notably driven by customer acquisition through the digital channel. So Sam's Club proved to be a powerful format once again. We see strong potential to grow the brand in the country with further openings planned. E-commerce and Financial Services did remarkably well for the quarter, primarily benefiting from the integration of Grupo BIG and its customer base, which is progressively embracing our digital services. All former BIG stores are now fully integrated into our digital platforms, which clearly supports GMV growth. This also applies to Banco Carrefour as we continue to convert former BIG clients to our services across all formats, including Sam's Club. Our credit portfolio is 26% larger than last year. In Argentina, business remains very solid with positive volumes and market share gains for Carrefour.  Like-for-like sales were up 141% over the quarter in a context of very high inflation. So as you can see on Slide 9, the acquisition of Grupo BIG is starting to bear material fruit. All this gives us comfort to confirm our BRL 2 billion synergy target by 2025. A few words now on our CSR initiatives during the quarter in the framework of our Carrefour 2026 strategic plan, as you can see on Slide 10. We keep implementing our objectives on climate with a target of reducing greenhouse gas emissions linked to products by 30% in 2030. One of the drivers to reach our target is to develop the sales of alternative plant-based proteins. In Q3, we teamed up with 7 major manufacturers, including Danone and Unilever to accelerate on this topic with a global objective of generating a combined EUR 3 billion in sales from alternative plant-based products by 2026. Another key pillar of the Carrefour 2026 transformation plan is inclusion and diversity. This quarter, we were particularly active on the topic of visibility with initiatives in stores at Carrefour for our employees and for the broader community. Moving on to Slide 11 with a final word on our EUR 800 million share buyback program. We are now well advanced on execution with repurchases to date of EUR 664 million or 38.2 million shares. This morning, our Board of Directors confirmed the cancellation of 11.2 million shares. After this cancellation, the total number of net outstanding shares will amount to EUR 699 million. With that said, I thank you for your attention, and I'm now happy to take your questions.
Operator: [Operator Instructions]. And your first question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva: I had a couple of questions. My first one is on your guidance. So I think a number of market participants might be surprised that you have maintained your guidance. Because I guess the deflation in Brazil has been -- was what a lot of people thought it would be. So could you help us understand which part of the business is doing better than originally planned? Is it France? Is it the retail media or maybe your guidance had enough buffer in it to start with? So that's the first question. And then I have one more.
Matthieu Malige: Thank you, Izabel, for this first one. So yes, we confirm our objective for the year, which is a growth of EBITDA of recurring operating income and net free cash flow. Well, although, as I said in my speech, although the headline numbers are a little weaker than they were in Q2 this is mainly and probably solely due to the decrease in food inflation numbers. Otherwise, the underlying trend in the business remains very strong, and as we had planned. In parallel to all the top line initiatives, all our medium-term Carrefour 2026 initiatives have also progressed well. I mentioned private labels. I mentioned the conversion of company-operated stores to franchise and lease management in France. The mutualization of a number of head office functions at European level, including on the purchase side with the Eureka sourcing office in Madrid is progressing well with the first batch of suppliers finished and opening a second batch. I mentioned at the end of the first half that we were satisfied with the progress of the profitability on our E-commerce initiatives. It keeps performing well, as you saw in the numbers. Maxi, which is a program to improve our efficiency in the stores, among other things, is also progressing well with more stores rolled out. And we have a general and permanent attitude to cost discipline to adapt our operating model to the environment. That was materialized in our H1 numbers, and it keeps being implemented. So it's really about a model which is bearing rolled out quarter after quarter and which gives us a strong support in delivering our objectives.
Izabel Dobreva: That's very clear. I then have a few questions on Brazil. So I saw that the like-for-like in Atacadao improved sequentially by 160 basis points. I was wondering, could you give us some color on how much of that was the conversions and whether you're seeing any underlying volume improvements in the Brazilian business because I saw that the like-for-like for the conversion is up 20%. So would you say those are now tracking ahead of where you thought they would be?
Matthieu Malige: So you're right. The -- so the performance, the minus 2.7% like-for-like at Atacadao is really a mix of the, I would say, the legacy perimeter, which had similar trend as it had in Q2, which is good. Because as we had greater deflation, it means that we have performed better. And notably on the volume side, we started to see a better trend in terms of volumes on the legacy Atacadao through the quarter. So that's a positive. And then when I came to you at the end of July with our H1 numbers, we said that we had been negatively impacted in the H1 recurring operating income by the fact that the recently converted stores to the Atacadao banner had a negative EBITDA and that it was very usual that following a conversion, we had this negative EBITDA dynamics. And that it was [ supposed ], and I shared a graph with you that it usually improves starting year 2. And so this is exactly what we are seeing over the Q3. So it's good that when we say that we anticipate something it does materialize in the following quarter. So we've had a plus 22% like-for-like for the recently converted stores for all the converted stores, sorry. So that's a positive dynamic. We're very satisfied with this. And we have a growing month after month number of stores, which are reaching positive EBITDA levels. So it means that we are today exactly in line with the trends that I shared with you. So all this is positive signs that the commercial synergies are taking shape. You remember that the cost synergies, we had already reached our objective of BRL 1.2 billion on an annualized basis. And that we had to generate an additional BRL 800 million of commercial synergies to reach the BRL 2 billion of the target. And so the commercial synergy dynamic is underway in Q3.
Operator: We will now go to our next question. And the next question comes from the line of Frederick Wild from Jefferies.
Frederick Wild: Just 2 for me, please. Firstly, in France. Could you give us an idea of the cadence of market share in the country and particularly how you market -- how you exited on your market share performance. And secondly, on that volume mix picture in Brazil versus Q2, could you describe a little bit more on that cadence through the quarter? And I mean you just alluded to the fact that it was improving. But how much of a volume improvement did you see through the quarter?
Matthieu Malige: Thank you very much. So first, in France. The -- so we've had a history of gaining strongly market share in 2001, 2022. We still had a positive first quarter and we've had more sluggish trends since Q2 on the back of very high historicals, but still more sluggish trend. Our analysis of this is that one of the leading players in the French market has been very aggressive over the past 12, 15 months in terms of pricing and competitive policy and clearly capturing a significant portion of market share to the detriment of all other market players, notably hard discounters but to some extent to Carrefour. So we had slightly declining. I don't have all of them in mind, market share in P7 to P9, probably 10 or 20 bps. And the most recent one, the P10 we had stable market share again on very high historicals. And in average, since the beginning of the year, we are slightly gaining market share. So we think that we have a very specific situation at the moment, but it shows that our commercial dynamics or attractiveness to customers is performing well. All the initiatives that we are taking to either freeze prices in H1 or reduce prices since the beginning of the summer. This is resonating well with our customers, and we confirm our objective that we want to continuously gain market share in our countries and obviously, in France. On your second question relating to the volumes at Atacadao in Brazil well, there is still the heavy consumption pressure in the market. However, we saw through the quarter a more positive trend. It's hard to share very detailed numbers with you today. But we had these positive dynamics. I think it's too early to make it a medium-term sign, but it's good to take.
Operator: We will now go to the next question. And your next question comes from the line of Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Two questions, if I can. So firstly, coming back to that price investment from Leclerc, I think is an unnamed competitor, but why don't you feel the need to respond if you're broadly happy with where your pricing is. Secondly, just help us understand a little bit on the Brazilian market. I mean, clearly, it's been a challenging couple of quarters. Challenging so far to really see the earnings uplift coming through from Grupo BIG, when would you expect that? I suppose the sort of U-shaped recovery? Is it more likely to come in 2024 than it would do in Q4?
Matthieu Malige: Thank you, Andrew. Well, as far as the competitive situation in the French market is concerned, I think there's really one player that's taking specific initiatives. And then there is the pack of players, and we're doing a good job in that group of retailers. So we're competitive. Again, we have high historicals. We have a very specific situation at one player, but we are stabilizing our market share for now a few periods, again, on high historicals. So we keep investing, as I said, with waves of price decrease with the full range of services, including promotions and loyalty and/or private label, which, as you saw with the numbers resonates particularly well with customers. So we think we have the right level of competitiveness in the market with one player taking specific initiatives. So again, we're rolling out our strategy. It has driven 2 very strong years of market share, and so we'll keep rolling them out. In terms of the Brazilian market and the timing for the synergies at Grupo BIG integration. Well, obviously, as you saw in H1, the cost synergies which were captured were more than compensated by the recently converted stores which were loss-making in the first few months following the conversion. So it's clear that as the stores do ramp up and progressively turn to a positive EBITDA contribution. We should see more visible impact from the synergies on the bottom line.
Andrew Gwynn: The question wasn't so much about the synergies. It was more about the kind of underlying earnings of the business. I mean it looks like this year, you'll see a relatively sharp drop in earnings in Brazil in EBIT terms, not in adjusted EBITDA but in EBIT terms. Would we expect Q4 growth, or would we be thinking more about 2024?
Matthieu Malige: Well, we had a number -- so you're totally right. In terms of Carrefour Brazil recurring operating income in H1, we were declining with a number of things to have in mind. First, we had, I think, a EUR 65 million of one-offs, which were relating to the conversion of the stores in the first half and I'm happy to confirm what I shared with you in July that we don't anticipate this one-off to have any material impact in H2 there behind us. They were H1 topics. And so they should not happen again in H2. Then we had a negative performance for the converted stores. And so I just commented on that. And then we had the legacy business which held up quite well. So clearly, you see that there's a number of moving parts and that the H2 is likely to look a little different. Now the environment is quite volatile with negative month-to-month inflation, so one has to be cautious for the coming months with an element of satisfaction and confidence, which is our own commercial dynamics, notably at Atacadao which is getting stronger and stronger.
Andrew Gwynn: Okay. And then just finally on the guidance, I mean, the same question actually from the full year, but you're guiding to growth in adjusted EBIT not adjusted EBIT, EBITDA, but you're not mentioning net income and EPS. So would you expect to see growth in those as well? The same question actually for the full year, so apologies for the repetition.
Matthieu Malige: Yes. Well, I'm not commenting on that. I think it's a little too early. We shared with you some guidance earlier in the year, which is exactly the one that we are confirming today meaning EBIT, EBITDA and net free cash flow growth. And so we are happy to confirm this today, and we see in February for the rest of the other financial KPIs.
Operator: We will now go to our next question. And your next question comes from the line of Clement Genelot from Bryan Garnier & Co.
Clement Genelot: Just 2 questions for my side, if I may. So the first one is about the lease management or by the end of next year, 2/3 of franchise supermarkets and maybe 1/3 of French hypers will be either franchise or  may be under lease management. So a way you see the glass  [indiscernible] ? And my second question is whether on the negotiations. So  [indiscernible]  at France annual negotiations are always quite tough. But what's the food manufacturing stance in the other markets, being Spain, Eastern Europe, Brazil, are they more keen to really pass through some price cuts?
Matthieu Malige: Thank you very much, Clement for your question. So on lease management, so it's proven through the years to be a very effective way to improve the performance of some stores, which are going through some difficulties. And as you know, we've not closed any hypermarkets or any supermarkets since 2018. And when we convert the stores to these management and franchise we see a number of positive impacts on customer satisfaction, on market share of the store in its catchment area on a number of operating levels and finally, on the profitability. So it seems to be positive in a very high number of dimensions. So this is why we decided to engage into a new way for 2024. We have no plan beyond that. We'll see how it progresses. We keep monitoring that. But it is clearly a positive dynamic that we're happy to be able to count on today. In terms of negotiations, so you're right, the structure of the negotiation is quite different outside of France. French market is quite unique with this formal timing for the negotiations. What we see in our other markets, notably in Europe, I think Latin America is a little different, we see relatively stable prices or even slight inflation through the negotiations. And that applies to private label and national brands. So the demand and in a number of cases, the outcome of the negotiations point to slightly positive, I would say, low to mid-single-digit inflation when we have these negotiations with obviously very different cases. We have some products where we do negotiate deflation, and some other ones where we have inflation, obviously, depending on the components. So for the rounds of negotiations which are opening all the teams are fully prepared. We've had a number of discussions with them in all our European geographies and clearly the objective is to negotiate deflation in order to support the purchasing power of our customers.
Operator: We will now take our next question. And the next question comes from the line of Francois Digard from Kepler.
François Digard: Two, if I may. The first, could you provide some details about your market shares in volume terms in your main geographies, not only in value but in volume terms. The second is about Atacadao where I'm a bit confused, I have to say. You say the legacy business was done, but I missed the figure, something like minus 4.5%. Is it correct? And why is it so different than the converted stores' performance. If you could share with us the best of comps of the converted stores last year. It may help me to understand why this is so different.
Matthieu Malige: So thank you very much, Francois, for your questions. Well, hard to go country by country on market share in volume terms. Well, overall, they are quite stable since the beginning of the year, we may have different trends from one period to another. Maybe I would just flag Belgium where the performance is particularly strong. You saw that in the like-for-like numbers. But behind the numbers, you have significant market share gains. As you know, there's been a change in management in the summer of 2022 and a number of commercial initiatives, which were taken, notably. We've had a number of new customers who have joined us in the course of the first quarter and they seem to appreciate what they see at Carrefour stores. And so they keep coming to our stores, generating this positive dynamic. The rest I commented earlier on France and Spain, you also relatively stable, nothing specific to report there. So let me come back on Atacadao. Obviously, maybe it was not very clear. So we have like-for-like at Atacadao in Q3, which is minus 2.7% in the press release. So my comp and it was minus 4.3% in Q2, and that number excluded the converted stores, which were on a noncomparable at the time because that was the last quarter, Q2 was the last quarter where they were not in the like-for-like. So my point is that the legacy business had a minus 4.3% like-for-like in Q2, about the same trend in Q3, I said minus 4.5% in my speech earlier. So that the same trend with much weaker inflation levels or analysis is that this is positive. And when we analyze that, we have a better volume trends in Q3 than what we had in Q2. And so on top of this minus 4.5% in Q3 of the legacy Atacadao stores, you have the like-for-like performance of the converted stores, which are now accounted for in the like-for-like perimeter because we are more than 1 year after completion. And so these specific stores, they have a 22% like-for-like dynamics in Q3 which translate into 1.5 to 1.8 points of additional like-for-like on the total Atacadao perimeter. I hope that [ answers your question ].
François Digard: Yes. It's very helpful. On why the -- what I don't understand yet is the difference of performance between these converted stores on the legacy business. Maybe the base of comp of these converted stores of last year could help to understand why it is surging like that?
Matthieu Malige: Okay. Sorry. So well, these stores, there were historically either Maxi, which was the Cash & Carry banner of Grupo BIG or hypermarkets, mainly big hypermarkets and to small extent, they were Carrefour hypermarkets. And so one element of the rationale of the transaction is that when we take these stores and we convert them to the Atacadao commercial model, which is a better performing model, we see a sales uplift and that the sales uplift would create some value, and that's what I call the commercial synergies, which is part of the 2 billion objective. So that's really the core of the rationale. But when we -- so this is happening. So that's good news. It confirms that once they've been converted, they see a much better sales dynamics confirming the stronger commercial model for Atacadao.
Operator: We will now go to the next question. And the next question comes from the line of Cedric Lecasble from Stifel.
Cedric Lecasble: I have 2 also. So first one, still on Brazil, you have a huge boost on the converted Atacadao. You have less of a dynamic on the converted classical stores converted to classical formats. Could you maybe just explain maybe this new format is closer to the older format? Why didn't you have any boost from these conversions? Maybe you had less also. Maybe you can give a little color on this? And the second question, Matthieu, is about cost inflation. You were very precise on food inflation and there's a slowing inflation. Can you maybe help us give some color on the cost side to tell us what is going in the right direction and what is still [ tough ].
Matthieu Malige: Thank you, Cedric. So let's be clear that the bulk of the stores and the conversion go to the Atacadao banner. You know that it is 70% of our business in Brazil, and it's a vast majority of the conversion, and we know that this model is performing well in Brazil. And so we've analyzed all the stores to see which ones could be converted to Atacadao format. So there'll be some kind of priority to try to convert the stores to Atacadao. Still, there were a number of Grupo BIG stores that belong to the varejo, so traditional retail, mainly hypermarkets and supermarkets formats. And so they were converted to -- for the hypermarkets to Carrefour. And for the supermarkets, we did not change their brand. They are still [Foreign Language], so the historical banners. As you saw in the numbers, given the high pressure on consumption power and purchasing power, clearly, the traditional retail format is penalized in the current environment. The price points of this format is higher than Cash & Carry. And so clearly, the environment is favorable to the Cash & Carry model versus traditional retail. So in this context, also for the converted stores, the performance is positive, but we think it -- we still have ambitions for this commercial dynamics. It's hard to see it happening in the current consumption environment, but we are revisiting our commercial policies and making sure that we adapt to the environment and to each catchment area in the current context. On the cost side, so many, many things, as I said earlier are going in the right direction. First, I think we had numerous initiatives in all our geographies, which were underway. We've launched new ones. And on top of these structural initiatives that you know, there is day-to-day adjustments of operations to the current consumption environment, notably, declining volumes. It means that you need to adapt that we are adapting, and we already did that in Q2 and I think in Q1. So that was behind the good performance, notably in Europe of the recurring operating income in H1. We adapt our operations to the volume trend, be it in the stores or on the logistics side, just to make sure that we keep the high level of productivity in our operations. So both very structural projects progressing well. Hence, we confirm EUR 1 billion objective for the year and a good day-to-day management of our operations.
Operator: [Operator Instructions] We will now go to our next question. And the next question comes from the line of Nick Coulter from Citi.
Nick Coulter: So 2 if I may, and apologies for the repetition. But it seems like your base-case scenario is for broadly flat EBIT in the second half for the LatAm division. And that's my interpretation, not yours. But -- and you've talked to some of the moving parts in the first half, but could you paint a picture for us on a qualitative basis as to what the moving parts are for the LatAm division in the second half? Because I think clearly in the market, there's a view that you will be down year-over-year in the second half for LatAm. So what are we missing? Is that phasing of cost saves? Or what are we missing, please? That's the first one, sorry.
Matthieu Malige: Thank you, Nick. Well, first, let me precise that. So we confirmed our annual objective, which is growth on the various KPIs I mentioned. And all this is consistent with what we see where the [ consent ] you see. So I don't think we have different views between what we say and what we read in your consensus. This is very converging views. And so we think the consensus is consistent with the current trend of the market. So we had a decline of profitability in H1 and obviously, we are confirming a growth on the full year basis today. I think I've gone through it in the call earlier, flagging the one-offs in Brazil in H1. Flagging a number of countries where we had a positive dynamics, notably Europe including France in H1 and where we keep seeing a strong dynamic in H2. And then we have, as far as Brazil is concerned, which was indeed a negative in H1. In Brazil, we have a number of positive trends that I shared with you. So I think that's the read-through of the business, and I think we have converging views.
Nick Coulter: Okay. And then on France, obviously, your progress has been very strong in France, but it looks like you lost volume market share in the last quarter. Notably, in hypermarkets. Could you kind of talk to that dynamic? I guess obviously, Leclerc is taking very aggressive volume market share, but it looks like a couple of other more brand-led operators are also taking incremental volume market share. So would you be able to talk to, kind of, how long you would tolerate this and why those trends are transitory and why you're comfortable with your value market share trending a bit better than your volume market share at the moment, please?
Matthieu Malige: Thank you. So well, we -- again, we've had a strong dynamics of market share, value volumes, including Q1. Clearly, we have a more sluggish trend over 3 periods. But again, it's 3 periods and the most recent one was stable. Again, I don't think we should look and we said that it was positive each period. It's really a better dynamic. So we have roughly a stable market share dynamics. I explained, and I think you got it perfectly the context of the market. So we keep reinforcing the competitiveness. We keep launching initiatives. Clearly, Maxi is a positive. The private label is a positive. So we really feel that we are in the market. We keep reinvesting as we usually do. We reaffirmed our objective to have market share gains in all our markets, then you can have 1 or 2 periods here or there depending on competition, on specific market events, on historicals, but we maintain this objective. So no change there.
Operator: We will now take our last question. And the last question for today comes from the line of Emmanuelle Vigneron from HSBC.
Emmanuelle Vigneron: I have 2 questions. Could you please give us some color about the [indiscernible]  trading. And what are you expecting in terms of consumer behavior going into Christmas? And secondly, what is the level of consensus EBIT for the full year?
Matthieu Malige: Sorry, I didn't get your last one, Emmanuelle. Consensus EBIT? No. Consensus EBIT you have it on your screen. So I'm not going to point to any specific number like we always do. On your first one relating to the consumption again, in Q3 and the first few weeks of October make no difference. We already have a continuation of the trends that we had in Q2 and earlier in the year, which is slight decline in volume, I would say, a low single-digit decline in volume in the food business. So same trend, no specific change there. And we're still experiencing some trading down and notably to the private label promotions, which is positive for the hypermarket format, as you saw in the numbers. So no specific trend there. The main driver behind the evolution of the top line is the evolution of the inflation, but consumption trends are relatively stable over the past few months. That was our last question. Many thanks to all of you for attending this call and hope to see you all very soon. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.